Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Synopsys Earnings Conference Call for the Third Quarter Fiscal Year 2013. [Operator Instructions] Today's call will last 1 hour. 5 minutes prior to the end of the call, we will announce the amount of time remaining in the conference. As a reminder, today's conference call is being recorded. At this time, I would like to turn the conference over to Lisa Ewbank, Vice President of Investor Relations. Please go ahead.
Lisa Ewbank: Thank you, Cynthia. Good afternoon, everyone. With us on the call today are Aart de Geus, Chairman and Co-CEO of Synopsys; and Brian Beattie, Chief Financial Officer. Before we begin our remarks this afternoon, I'd like to remind everyone that during the course of this conference call, Synopsys will discuss plans, forecasts and targets and will make other forward-looking statements regarding the company, its business and its financial results. While these statements represent our best current judgment about future results and performance as of today, our actual results and performance are subject to many risks and uncertainties that could cause actual risks -- actual results to differ materially from what we expect. In addition to any risk that we highlight during this call, important factors that may affect our future results are described in our most recent quarterly report on Form 10-Q and today's earnings press release. All financial information to be discussed on this conference call, the reconciliation of the non-GAAP financial measures to their most directly comparable GAAP financial measures and supplemental financial information can be found in the 8-K, the earnings press release and the financial supplement that we released today. All of these items are currently available on our website at www.synopsys.com. With that, I'll turn the call over to Aart de Geus.
Aart J. de Geus: Good afternoon, and thank you for taking the time to join us. Synopsys continues to perform very well and in Q3, we again delivered solid results in terms of business, technology and customers, meeting or beating every target we communicated last quarter. We achieved revenue of $483 million, non-GAAP earnings per share of $0.55 and strong operating cash flow. For the year, we're raising non-GAAP EPS outlook to a range of $2.42 to $2.44, projecting excellent double-digit growth for the year. We're also raising our operating cash flow targets to approximately $400 million. Brian will provide more financial detail in just a minute. Before proceeding to the company highlights, let me comment on the customer landscape. For semiconductor companies, Q3 was yet another quarter with a relatively weak global economy, particularly in Europe, and with slightly reduced growth in Asia. While this landscape is not really new, the continued pressure quarter after quarter of this economic squeeze is challenging. Simultaneously, though, our customers have a high focus on new technology and aggressive design activity. The result is a relentless demand for advanced tools and IP, areas in which we continue to lead and have a strong track record of excellence. For our customers, high-impact EDA and IP are more differentiating than ever before, making deep collaboration with the right supplier crucial. Synopsys benefits from these trends, and our technology investments and acquisitions are paying off. This is evidenced in the closing of multiple large deals in the quarter, despite significant competitive battles. Superior quality and breadth of our portfolio, as well as the engagements of our highly skilled global support team helps us win the fought-over business. Looking at the continued technology evolution, Synopsys today enables the most advanced designs in the world. Be it design at the most innovative FinFET-transistor-based technology nodes or be it advanced design at more established nodes, customers rely on Synopsys whenever they want differentiation from their competitors. Fundamentally, their differentiation is achieved along the 3 axes of better, sooner and cheaper. By better, we mean chips that are faster and/or lower power and, in most cases, are both. By sooner, we mean earlier time-to-market, which involves every aspect of design, including the verification of hardware and software. And by cheaper, we mean chips that are smaller, denser and achieve higher yield in manufacturing. Needless to say, each of these dimensions competes with the others and really good tools, IP and support materially impact the overall results. This is also why the new type of vertical transistor called FinFET is so important. FinFETs are simultaneously faster, smaller and lower power, but they do require sophisticated tools and IP. Synopsys has taken a strong leadership position in enabling this promising wave of advanced design, and we see excellent adoption as companies are investing more aggressively in this direction than initially forecasted. To date, approximately 90% of 20-nanometer and below tape-outs have used Synopsys implementation, and we're already engaged all the way down to 10-nanometer. This past quarter, we saw the number of designs at 20-/22-nanometer and 14-/16-nanometer increased notably. Except for some specialty approaches, all 14-/16-nanometer designs are 3D FinFET-based, and all key foundries are investing heavily to develop their FinFET processes, promising eager customers about 40% lower power consumption. Synopsys has been investing in FinFET enablement for half a decade, and we have at least a year head start over any competitor. Our complete solution addresses design challenges from the earliest stages of process design, transistor development and characterization, library and memory IP development, digital and analog/mixed-signal design and verification, all the way to complex IP cores and sophisticated global support. By now, we also benefit from production-proven tools and IP, with more than 100 million FinFET chips shipped, thus far, using Synopsys tools. During the quarter, we announced a number of customer and ecosystem partners successes, all the result of multi-year collaborations. TSMC, for example, certified our digital and custom design and verification solution for its 16-nanometer FinFET process. We also delivered a comprehensive design implementation solution for Samsung's leading-edge 14-nanometer FinFET process. And we announced UMC's first qualification tape-out in its 14-nanometer FinFET process, achieved using Synopsys tools. These are just the latest in a growing string of achievements, including the tape-out of Samsung's first 14-nanometer low-power test chip. Samsung chose Synopsys as their FinFET partner because of its successful collaboration history and the comprehensive capabilities throughout our portfolio. Another excellent example is FPGA provider, Achronix, standardizing on IP Compiler and IP Validator and taping out the industry's first commercial FinFET-based SOC using our tools. Now let me turn to verification, where technology leadership is just as important. Today, our digital verification is used in the vast majority of advanced designs, and 19 of the top 20 semiconductor companies use Synopsys circuit simulation. With smaller transistors, and thus more transistors on a chip, the need for massive amounts of verification continues to grow. This is why the quest for still faster simulation is essential to our strategy. In that context, our VCS simulator and ZeBu emulator both have the fastest run times in their category. Growing equally rapidly in importance is the need to simultaneously verify hardware and software. Our combination of emulation, FPGA-based prototyping and virtual prototyping is unique in its breadth and capabilities. This is an area for growth for us, and prototyping, specifically, has been strong for us all year. In the past, customers typically built and assembled complex FPGA boards in-house to complement their chip simulation and accelerate their hardware/software debugging. These efforts are increasingly being outsourced to us, and we're collaborating closely with some of the most advanced design companies in the world in this area. To fully increase the impact of all these verification technologies, we are substantially investing in integration around the Verdi debug system. As you may recall, we acquired Verdi through the acquisition of SpringSoft late last year. It is the gold standard open debug system used broadly across the world. I can report that not only is the product superb, but the integration, while an enormous task, is progressing well. A number of key customers are collaborating closely with us in setting long-term direction. Let me close with an update on our IP products, which continue to thrive and grow. Over the past 10 years, the use of third-party commercial IP has gone from experimental, to periodically used, to mainstream. In parallel, the complexity of our IP has evolved from simple cost-advantaged blocks, to a broad portfolio of all the main interface protocols, to now extremely complex state-of-the-art and rapidly evolving next-generation solutions. In addition, our team has also become extremely proficient in the advanced technologies around FinFETs, and we're heavily engaged in sub-20-nanometer libraries, memories and analog IP. According to Gartner, Synopsys is the largest provider of physical IP, more than double the nearest competitor. The amount of IP that the top 20 semiconductor vendors consume has increased by 5x over the past few years and now represents almost half of our DesignWare IP revenue. Overall, we're the second largest IP provider in the world, with about 1,900 engineers designing commercial IP blocks, giving us the #1 position in interface, embedded memories and analog IP. We estimate that only about 50% of these types of blocks are outsourced today, and we expect this area of our business to continue to yield double-digit growth, driven more -- by more outsourcing as well as additional protocols and titles. In Q3, we released memory blocks for a number of 14-/16-nanometer FinFET processes, realized a key competitive win in interface IP and were chosen as the strategic IP partner by a large U.S. company for 16-nanometer FinFETs. Lastly, we also announced a new low-power IP subsystem for sensors, aimed at the "Internet of things" markets. This is an integrated, pre-verified system that sensor developers can purchase off the shelf rather than developing and assembling each component themselves. In summary, Synopsys continues to demonstrate broad strength and innovation in technology, customer relationships and financial execution. We delivered very solid financial results in the quarter, and as a result, we're raising our non-GAAP earnings per share and operating cash flow guidance for the year. I'll now turn the call over to Brian Beattie.
Brian M. Beattie: Thank you, Aart, and good afternoon, everyone. In my comments today, I will summarize our financial results for the quarter and provide you with our guidance for Q4 and the full year. In my discussions, all of my comparisons will be year-over-year, unless I specify otherwise. Now Synopsys delivered a solid quarter, meeting or exceeding all of the quarterly financial targets that we provided in May. Additionally, we continued our stock repurchase program and generated considerable operating cash flow. Now some additional detail. Total revenue was $483 million, an increase of 9% compared to a year ago and at the high end of our target range. Approximately 90% of the Q3 revenue came from beginning-of-quarter backlog and one customer accounted for more than 10% of third quarter revenue. The weighted average duration of our renewable customer license commitments for the quarter was about 2.9 years. We continue to expect average duration for FY '13 to be greater than 3 years, reflecting a mix of contracts, including the impact of a large contract renewal in Q2. Turning to expenses. Q3 total GAAP cost and expenses were $428 million, which included $32 million of amortization of intangible assets and $16.5 million of stock-based compensation. Total non-GAAP costs and expenses were $375 million, an expected year-over-year increase due to increases in headcount and expenses from our recent acquisitions, along with timing of quarterly expenses, including year-over-year cost increases, such as employee compensation and planned product investments. Non-GAAP operating margin was 22.5% for the quarter and 25% for the first 3 quarters of the year. Our ongoing goal continues to be a focus on operational efficiency with annual non-GAAP operating margins moving solidly into the mid-20s. Turning now to earnings. GAAP earnings per share were $0.33, with non-GAAP earnings per share at $0.55. Our non-GAAP tax rate was 20.5% for the quarter, below our target range due primarily to some onetime tax benefits that resulted from a true-up of our FY '12 taxes with the U.S. tax return that was filed just last month. As a result, we think that the non-GAAP tax rate of approximately 22% is a reasonable estimate for FY '13. And as a reminder, this rate reflects the reinstated R&D tax credits for both FY '12 and '13, which benefited FY '13 non-GAAP earnings. Now turning to our cash and balance sheet items. During the quarter, we generated $263 million in cash from operations and are raising our operating cash flow targets for the year to approximately $400 million. And this is reflective of the higher-than-planned business levels and cash collections experienced throughout 2013. We repaid $7.5 million of our outstanding term loan, leaving a remaining balance of $130 million. During the quarter, we purchased about 1 million shares of Synopsys stock for $35 million. During the first 3 quarters of the fiscal year, we spent $70 million, repurchasing about 2 million shares, and we have approximately $202 million remaining on our current share repurchase authorization. As a result, we ended the quarter with cash and cash equivalents of $892 million, with 43% onshore and 57% offshore. We plan to continue optimizing use of our strong cash flow, whether on M&A, debt reduction or stock buybacks. DSO was 53 days, reflecting the timing of invoices, and we ended Q3 with approximately 8,400 employees, with about 1/3 in lower-cost geographies. Now let's address our fourth quarter and fiscal 2013 guidance, which excludes the impact of any future acquisitions. For the fourth quarter of FY '13, our targets are: revenue between $500 million and $510 million, a year-over-year increase of 11% of the midpoint. As we mentioned last quarter, we expect some increased variability in quarterly revenues going forward, and this can be driven by factors, such as sales volatility in emulation and prototyping hardware, which generates upfront revenue, timing of consulting projects and certain contracts where revenue is recognized when customer installment payments are received. However, we continue to expect a quarterly revenue model that is approximately 90% time-based. Total GAAP costs and expenses between $432 million and $449 million, which includes approximately $17 million of stock-based compensation expense; total non-GAAP costs and expenses between $386 million and $396 million; other income and expense between $1 million a negative $1 million; a non-GAAP tax rate of 23% to 24%; outstanding shares between 155 million and 159 million; GAAP earnings of $0.29 to $0.35 per share; and non-GAAP earnings of $0.54 to $0.56 per share. Now our fiscal 2013 outlook shows revenues between $1.957 billion and $1.967 billion, a growth rate of 12% of the midpoint or 13%, excluding the extra week we had in 2012. We've been able to maintain our annual revenue growth targets even in the context of a significant yen depreciation this year due to our hedging programs and our stronger business levels. Other income and expense between $8 million and $10 million; a non-GAAP tax rate of approximately 22%; outstanding shares between 155 million and 159 million; GAAP earnings per share of $1.51 to $1.57, which includes the impact of approximately $67 million in stock-based compensation expense; non-GAAP earnings per share of $2.42 to $2.44, which represents solid, double-digit year-over-year growth; capital expenditures of approximately $70 million; and as I mentioned earlier, we're targeting cash flow from operations of approximately $400 million. So in summary, we're pleased with our solid Q3 financial performance and execution, highlighted by considerable cash flow generation and on-target operating results. So with that, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] And our first question will come from the line of Rich Valera with Needham & Company.
Richard Valera - Needham & Company, LLC, Research Division: Brian, you referenced higher-than-planned business levels, yet you very slightly tweaked down your revenue guidance for the year. Is that just due to the, what you mentioned, sort of higher expected volatility around hardware sales and those timing of consulting deals?
Brian M. Beattie: Well, again, we are seeing very, very strong business levels, and we referenced that last quarter and again this quarter. And as a result of that, we're able to confirm a very solid revenue growth for the year. We're looking at about 12% right now. It's right within the range we set at the very beginning of the year. It's within the range that we set at the last quarter even. And as a result of that, too, we're now able to raise the midpoint of our EPS guidance by about $0.03 from last quarter. So again, we're in good shape. We're actually -- you see us now shooting for over $500 million of revenue in the fourth quarter, which is a record achievement for us as well that we're planning.
Richard Valera - Needham & Company, LLC, Research Division: Maybe I can ask it another way. Were -- are there any geos or product areas that are a bit lighter than expected? And I guess I'd call out Japan, in particular, that's been down high-single digits to double digits for the last 3 quarters. Is that a headwind that's sort of had some cumulative impact here? And any thoughts on any of those?
Brian M. Beattie: Well, yes. We do see, as I mentioned, even last quarter, we anticipated the results we'd have this week -- this quarter. We do see some variability just based on the timing of the elements like our emulation hardware products and our boards, our prototyping activity, where all that revenues move within the quarter; so again, seeing very good, strong growth. The consulting part of the business is doing pretty well. And again, that timing of that is based on, Rich, either the percentage completion or when the cash comes in from the customers. So we just tune it into the actual expectations based on the type of business. But overall, looks like a very, very strong year again that we're putting up.
Richard Valera - Needham & Company, LLC, Research Division: Okay, one final one for me. With respect to your analog and custom design initiative, just wanted to talk about how that's going in the market, how the Laker product is doing. And that was a well-respected product but a very small revenue base relative to the total market. Wondering if you feel like you're having some success there in trying to crack into that sort of analog custom design market, based on those Laker tools.
Aart J. de Geus: As a matter of fact, yes, Laker was a very good acquisition, and the combination of Laker and the efforts that we had in CD are quite complementary, and we're still in the process of integrating all of that. But one of the other things that we inherited with Laker, of course, is a very strong presence with a number of customers. And while one goes through the uncertainties of an initial acquisition, I can report that the customers are very positive about what we're doing and have been very stable with us, so we can build on that. In addition, we're finding also that the ability to do code design with the obviously very strong digital offering that we have is growing in opportunity. So I think Laker was a great addition to what we have, and the integration is progressing very well with what is truly also a stellar team in the form of SpringSoft people.
Operator: Our next question comes from the line of Krish Sankar with Bank of America Merrill Lynch.
Krish Sankar - BofA Merrill Lynch, Research Division: I had a couple of them. One, Brian, on the guidance for the October quarter, what is the reason for the non-GAAP OpEx going up that much?
Brian M. Beattie: Well, the timing of the spending, again, is just based on when the agreements are put in place, and it's a profile that's recognizing salary increases that come in the year. There's little bit of variable comp related to, again, a very strong fourth quarter that's expected. So really, just a -- it's a typical Q4 profile that we see. We saw the same thing last year and then typically, the next quarter, in Q1, kind of drops off. So it really is just the tuning-up for all the final year expense activity.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. That's very helpful. And then I have another question for you. When you look at the foundries moving to 20 and below on the FinFET side, I'm just kind of curious, can you help quantify what is the increase in design cost when you go from a 28- to a 20-nanometer planar? And then when you go from planar to 16 or 14 FinFET geometry, can you help quantify what the incremental design cost of that [ph] is?
Aart J. de Geus: Well, this is actually quite difficult because very often, people, as they move to the next node, and especially as they move into this one, they're simultaneously dramatically increasing the complexity of their chip. And so what they are trying to get is, for roughly what is the same manufacturing costs because those have tended to be relatively stable for many, many, many years, is a much higher degree of functionality. On top of that, what complicates your question is to what degree are they pushing the envelope on performance and power. And so those people that really want to exceed their competition in that angle will spend more with us, and we're clearly seeing that the first version of any design is a step-up in terms of investment, in terms of time and in terms of utilization of tools. I'm clarifying that it's first version, because there's a lot of wrong beliefs in the industry that every chip is just incredibly more expensive. That's not true. Once you've done the first version of a chip, most of the chips are derivatives, that then are much lower cost. So at the end of the day, the economic equation holds pretty well together, and the reason I can say that is because we can see the number of people accelerating their push towards the sub-20-nanometer FinFET generation to actually continue to increase. And I think that's a very good sign because, as you've heard me say before, I think FinFET has opened up another decade of Moore's Law, and we're well on our way with that.
Krish Sankar - BofA Merrill Lynch, Research Division: But -- and then when you look at it historically, like maybe going back to the 28-nanometer node, what was the time from the time -- from the moment they finalized the design to the time they ramped up capacity? And do you expect that to be shorter when you go to FinFET because you said that you're accelerating to the FinFET node? Once they finalize the FinFET design, when do you expect actual volume output on factories to happen?
Aart J. de Geus: I think that, in aggregate, it is not that different from any of the previous nodes. Because as much as the processing is a bit more complex, it does not add an enormous amount of time compared to previous processing steps. And so then it's more a question of what your degree of confidence in the quality of the designs, do you have to do any engineering changes to it and tape it out another time -- another round. And in general, so far the evidence is that we're doing just as well as we did with any of the previous generations, but it is a big investment for specifically the foundries to get all of their data together. One more comment, with these much larger chips, these chips are de facto little supercomputers because they have many processing cores, comes also an increase of the embedded software that goes with it. And so as much as your question is pertinent, I do think that the time-to-market is as much dominated by the readiness of the software as the issues around the hardware.
Operator: Our next question comes from the line of Monika Garg with Pacific Crest Securities.
Monika Garg - Pacific Crest Securities, Inc., Research Division: I think the first question for Brian. Brian, if I look at 9 months, the revenue from Japan, it's almost down 10% year-over-year. Is it mainly due to the yen? Or you think either the semi spend or the EDA spend in the Japan is slowing?
Brian M. Beattie: Yes, it's really a combination of that, Monika. For the first part, we do see the yen has devalued about 20% this year, and most of our revenues in Japan are in yen-denominated contracts. In addition to that, we're just looking at perspective on Japanese economy, which is fairly flat, and a lot of activity, of course, going on to encourage the activity levels and the investments to the government and so on to pick up the overall economic growth levels in Japan. So again, we expect that, that may bring us even better results next year.
Monika Garg - Pacific Crest Securities, Inc., Research Division: And then just kind of a follow-up, what we have seen in the semi industry right now, I mean, semi industry kind of is deep in challenge, as you kind of talked about in your opening remarks. So could you maybe talk about the impact of slowing to flat growth of semiconductor industry on the EDA industry?
Aart J. de Geus: Sure. So first and foremost, I think what happens in the semiconductor industry is largely governed by the external economy. And so, in that sense, that industry is not different than any others, except for the fact that new technology has an uncanny way of actually holding strong even in economic tough times. And I shouldn't just maybe call it tough, it's just sort of anemic for, now, a number of years. And so semiconductors are actually quite intense in terms of the investments. The growth rate, it keeps being projected as going up 6 months from now. But in all honesty, that's been now happening for, for a little while, but the investments continue to be very targeted. And so for our industry, the EDA industry, and I would say also some of the technology investments around manufacturing, investments have continued because the opportunity space going forward is extremely attractive as we enter this next round of silicon technology in transistor type. And we, Synopsys, have been fortunate to see this coming for a little while and, therefore, have invested heavily into it. And that's why I think we will continue to deliver a higher growth rate than the semiconductor industry for sure and, in general, have done quite well and certainly, our bookings have been strong again in that direction.
Monika Garg - Pacific Crest Securities, Inc., Research Division: Then I have one on the cash and capital allocation. I mean, you guys have raised again your operating cash flow guidance. So have you thought about maybe initiating dividend?
Aart J. de Geus: We have shied away from that because we feel that, in our space, having options around M&A or buybacks is actually the better way to use the cash and that is what we've been doing for the last number of years. We never say no to anything, but at the same time, right now, our priorities are very clear. Our objective is to continue to grow the earnings per share, and we are doing that -- the -- all the mechanisms that we set, which is leadership in technology, invest there, invest in the support of our customers and then also manage the profitability of the company upwards and keep looking at opportunities to acquire technologies if they are ready and if they fit our profile.
Monika Garg - Pacific Crest Securities, Inc., Research Division: And just the last one, if I may. You talked about the sensor IP. Could you maybe help me understand maybe more details on the sensor IP you talked about? Is it the interface IP for sensors or is it something else?
Aart J. de Geus: Certainly. Well, first, why is it important? Well, if you look at the Internet today, of course, this has been growing immensely in the last 15, 20 years mostly because of the connectivity first of people to people over the Internet and then major compute centers to other major compute opportunities over that same medium. What is clearly going to happen now is that for many things, and it's actually referred to as the "Internet of things," there will be more and more connectivity provided, which is another way of saying that everyday objects will need some connectivity, will need some smarts [ph] , will need some memory and it will need to be connected via sensors to the physical reality. And so what we have provided is essentially a very, very well-integrated small set of IP blocks that are ready to be connected to sensors and that can be, in turn, integrated into a broader compute environment or communications environment. And thus, we're following our past strategy, which is provide the puzzle pieces that maybe others could build as well, but that can be more efficient -- efficiently acquired or outsourced to us.
Operator: Next, we'll go to the line of Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Want to start with the upfront revenue. So the results of the quarter, was all of that attributed to the acquisition of EVE and the revenue recognition around that? Or was there other upfront contracts in the more traditional part of your business?
Brian M. Beattie: Sterling, it's really related to the hardware part of the business. All of our hardware transactions are enacted in the quarter, in which we shipped, and it's taken upfront, so that reflects that. And it was a very strong on a quarter-over-quarter basis. So that's what happened in Q3, and it came in pretty well as expected. And again, it's one of those items we've highlighted that may move from quarter-to-quarter just based on timing of the deals and when we actually are shipping the product but it's not ratable. It's right upfront.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And when you look at the contributions from the recent acquisitions, can you at least qualitatively characterize how they performed? And can you talk us through, was there any impact on deferred revenue from the acquisitions?
Brian M. Beattie: Well, maybe on the last part, no. No impact on deferred revenue. That's just business as usual. Everything was fully integrated for all of the acquisitions last year, were integrated at the very beginning of the year. So balance sheets and everything reflected that. And so the quarter-to-quarter swings in deferred revenues, which, as you know, just reflects the ability to invoice customers. And where we haven't taken revenue, there's no significant change in that profile year-to-year or quarter-to-quarter.
Aart J. de Geus: On the integrations, I think things are actually progressing extremely well. We're happy with all the acquisitions that we made. And there's, of course, a lot of work to integrate them, largely because the acquisitions were made with the broader vision in mind. And specifically, if you look at even SpringSoft, the broader vision has been clearly around providing a much more sophisticated verification environment that would not only contain more multiple engines, so our simulator's an engine, but so is EVE, so are some of the FPGA prototyping that we have and so on. And it connects all of those to a common debugger, which is the Verdi debugger. I think that vision is turning out to be right on and has connected very, very well with a number of our most advanced customers. The other part, of course, that was mentioned briefly earlier is that there was also an analog/mixed-signal set of capabilities that came with SpringSoft, and that team has aligned very, very well with the team that we already have in that domain. And maybe the third one to mention, because it was also done last year, is Magma. There are 2 -- in the last 2 quarters, and specifically also this quarter, we saw excellent progress with a number of formerly key customers of Magma to now really align strongly with where we're going in our implementation flow on the new technologies. And so I think those transitions towards a common set of company products, all in all, are progressing very well. And the hard metric, of course, is, is that what's happening with the customers? And the answer is yes. The customers are very much following our vision there.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay, last one. I want to go back to the point you made about business momentum. You sounded very positive on it, but I wanted to just connect some dots here. You had DSOs that jumped 7 days quarter-over-quarter. You've got the jump in OpEx expected in the fourth quarter, partly in your comment about variable expenses, because you're expecting strong bookings in the fourth quarter, and the revenue forecast for October is below consensus. If I put that all together, perhaps one theory is going to be, you had a back-end-loaded quarter this quarter and a number of yields pushed into the fourth quarter, where you're not going to get a full coverage worth of revenue recognition, that's why the revenue guide is where it is. I just want to throw that out there, so you can talk to it, so we can just tell if that's not the right way to connect those dots.
Aart J. de Geus: Yes, just to be clear, the way I look at it is from a very different perspective, which is we are running the company, first on a yearly basis and secondly, sort of backwards from earnings per share. And so whenever we look at how these different things flow, our key objective is to not execute -- not only execute within the guidance that we've been giving, but hopefully, even better than guidance if the external business picture allows for that. It has done so this year. Obviously, we have one quarter to go. But as you know, we have a pretty good sense of where we can land in a given quarter. And so all of the comments that you've made are all variables that are being tuned as we end the year. And right now, overall, we'll do a substantially better than what we had set at the beginning of the year. And most of our focus right now has to be, therefore, on FY '14 and '15. And that is really where most of our planning work is going. So again, the emphasis is on the earnings per share. All the other variables are important, but they sort of have to fall in line just like the puzzle pieces over an overall picture.
Operator: [Operator Instructions] We'll go to the line of Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: A couple of financial questions for Brian to start and then a couple on the industry for Aart. Brian, could you connect the dots as well with regard to the sequential drop in your core EDA business plus a fairly substantial drop in Asia-Pac versus Q2 and as well as the sequential drop in your TBL revenues from Q2? Is that all correlated? And then similarly, going back to Sterling's question about the upfront revenue, you had a fairly large sequential increase in your cost of license revenue from the second quarter. Was that more closely connected to a increase or strength in your HAPS prototyping business that have -- might have been connected to the emulation business?
Brian M. Beattie: Yes. Okay, let me tackle all those questions. When we look at both the Q2 to Q3 profile, you're -- you sort of triangulating on a number of points related to specific contracts with specific customers. So for example, on the TBL line, as we had expected back in second quarter, we knew that there were certain elements related to both deliveries, cash collections from customers and so on that would have projected revenues in Q3 to come down a little bit from what we saw in Q2. That came through exactly, in effect, and that account was in the Asia-Pacific region. So sort of triangulating on your points about TBLs and then the Asia-Pacific. And then as we had indicated last quarter and this quarter, you are going to see a little bit of movement there based on either the hardware variables or the other elements that come in to services, which are up very nicely year-over-year. That's based on percentage completion, when we actually make the deliverables or milestones for that effect. But nonetheless, still maintaining 90% of each quarter's revenue coming from the backlog and being time-based. So it's just as we expected, as it came through, as it's profiled now in the Q3 is totally aligned. Your second question was about a COGS increase in Q3, and it was at $85 million and it was $77 million from a year ago. So that part there primarily related to the hardware deliveries, which I'd indicated with Sterling, was also up very nicely on a quarter-to-quarter basis. So that was where you'll see that movement from COGS for the cost of the hardware product that we delivered in the quarter. It was up very nicely.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Right. But I was asking if it was more correlated to the prototyping business, which, Aart mentioned in his prepared remarks, was strong through the year versus the EVE business.
Brian M. Beattie: Yes, I'd agree with the first part. It's -- the extra strength came through the prototyping side.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Okay. Aart, the latest industry data would suggest that the big 3 EDA vendors have reached a new level of concentration or percentage of total EDA revenue, let's call it around 80% versus roughly 75% that the big 3 shared for many, many years. Do you see that as having any effect in terms of pricing or other business effects by virtue of you're now having a more concentrated EDA supplier base? And by the same token, do you see the customer base potentially offsetting that by themselves becoming more concentrated?
Aart J. de Geus: Well, for starter, if I may change the premise a little bit. We have already, for a number of years, started to look at ourselves as not at all limited by the traditional definition of EDA and much more look at the entire space of chip design. And a good example for the benefit of looking at it that way is clearly what we can see happening both on the side of the IP business growth as well as all the areas that we touched where there's hardware/software and, by the way, also in some of the manufacturing area. And so as much as we often get lumped, of course, within the traditional core EDA space, and we're sort of lacking to find the right terminology how we want to describe ourselves, our business space is actually quite large. And in that context, I think we have a lot of opportunities. Now having said that, I think we have competitors. We never underestimate them, and we can hope that they have good, healthy growth and no need to compete in ways that are not good for the market. But I've very little to say about that. Our objective is to keep growing our bottom line. And so far, I think we're well on track with that.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: All right. Since you brought up the issue of a broader view of the market, let me refer back to your presentation at the conference in Austin 2 months ago where you spoke fairly broadly about the role or value of EDA, and you put it in the context of application, customers' applications -- your customers' applications relative to the cost of electronics, which are presumably becoming less significant. Could you put that in the context of how all of that, that very broad vision you talked about, informs your product strategy or your market strategy, particularly for emerging markets in terms of automotive electronics and other market? How do you translate that very broad thing you talked about 2 months ago into your product and market strategy, particularly in terms of the specific verticals?
Aart J. de Geus: It's a great question because it's a difficult question. And it's a difficult question because, on one hand, one needs to have a clear understanding as to where the entire industry is going. And one of the key drivers motivating in that specific speech was to highlight the fact that with absolutely another decade of Moore's Law ahead of us, we will see such tremendous capability changes that is actually hard to predict all the applications, but it's not hard to predict that it will impact many fields very fundamentally. And for an earlier question half an hour ago on the "Internet of things," that's just one aspect of that. But one can also talk about all the aspects of how it will touch the health industry. You mentioned automotive. In maybe somewhat flippant terms, there will be more smarts brought to individual tasks and individual objects in the world. Now that's easy to say, and then how do you make next quarter, and that's called the running of a company like Synopsys. And so the way we translate this is to understand where the long-term trends are. Understands that even if we may understand these very well, they're always very difficult to predict from a timeline point of view, but it is very useful to say, well, any action that we take, how is it helping out existing customers? How can we make it as adjacent as possible, adjacency in technology, adjacency in channel? Adjacency in terms of the customer makeup and thus, expand the serviceable market for us; and a TAM that I think is actually quite broad, depending on how you define it. And so in that context, we do have a number of bets in the water, and we have also a number of them that are seeing strong traction. As you well know, one of those bets was the moving into IP and that is over 10 years ago. And today, it is -- it's an engine that has a lot of growth potential with it. You now see that we are broadening those solutions, adding more hardware and software. And so, it is always a balance between long-term vision and day-to-day execution, and I think we are in a very, very good position because the core of our technology is absolutely exactly where the semiconductor customers need us to be. And they continue to bet on us for all the difficult work.
Operator: Our next question comes from the line of Mahesh Sanganeria with RBC Capital Markets.
Mahesh Sanganeria - RBC Capital Markets, LLC, Research Division: Aart, just continuing on that theme, can you talk about, again, most specifically, what your expectations for the long-term growth are for that core EDA and IP business? And in that context, how do you feel about the next year? Is it going to be a typical year? Or do you see something different next year?
Aart J. de Geus: Well, we want to refrain to give guidance now for next year. As you know, we do that in the fourth quarter. I think that, fundamentally, our view of the market that we're in has not changed. The core EDA is stabler for us and in the mid-single-digit growth range. The IP is in the double-digit growth range. And on average, as you know, we tend to sort of predict the year as a balance of those 2 things, and I'm refraining to give guidance for '14 right now. That has fundamentally not changed. At any point in time. We have things that go through growth spurts and others that need to be revamped, and that's something different this year, I think, than any other year. I think we're in a -- really a very strong and solid position.
Mahesh Sanganeria - RBC Capital Markets, LLC, Research Division: That's fair. And in terms of emulation, you talked about that. Where do you see -- what kind of contribution do you see from that particular business? And can you talk about -- a little bit about the competitive landscape in that business?
Aart J. de Geus: Well, for us, emulation actually, just like any of the other tools in verification, is no longer viewed as a standalone point tool. We are very much focusing everything we do on a verification solution, and the reason for that is simple. As much as we'll push on every one of our teams to be at the point tools [ph] , state of the art and best in class, the reality is our users use this tools in the context of very complex systemic verifications, where you pass certain portions of the design to one tool, certain portions in another tool. You need more accuracy. You need more speed. You balance these things. And what is great about the EVE acquisition is that it fits very well in the picture that we were building and, augmented by the Verdi debugger, really now complements our offering to be not only very complete but to have state-of-the-art point tools. But our objective is really to integrate those into an overall outstanding solution. We're well on our way, but there's still quite a bit of work to be done there. And so I think that FY '14 will really be the year where we will have a lot of real messaging around verification.
Operator: We have a follow-up from the line of Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Yes, Brian, you talked about the FX impact of the yen, but wondering if you could actually quantify what the revenue impact year-to-date has actually been because of the yen headwind.
Brian M. Beattie: Yes, we've indicated that again, in Japan, most of those contracts are yen denominated. We haven't broken out all the details on a line by line, but it is noticeable as a nonmaterial impact up to the revenue line. We've seen some improvement during the year from the hedging program that was booked through other income and expense. And when it flows through to the bottom line of 2013, it's really non-material to the EPS as well, just based on a very conserved hedging business. And the rest of it is just offset by a lot of hard work by all the different business units. So we've got recognizing what we had on our hands in 2013 and overall coming through, netting out in terms of revenues here that are right on track with what we said at the very beginning of the year despite some of that devaluation, looking at earnings, which are up about 16% overall for the year as well. So again, we just have to offset it. It's one of the many things that you have to deal with in running the business, and we're happy to deal with our results for the company.
Operator: And with that, I'd like to turn it back all to you, speakers, for any closing remarks.
Aart J. de Geus: Well, thank you for attending this session. I hope that the picture that emerges is one of excellent results and a strong confidence based on the technology position that we have. And as usual, we are open to your calls right after this. Have a good rest of the day.
Operator: This presentation is now finished. Please check back shortly for the archive.